Operator: Ladies and gentlemen, welcome to today's conference call of Wienerberger's Full Year 2025 Results. I am Judith, your operator for today. [Operator Instructions]. The conference is being recorded. [Operator Instructions]. We are looking forward to the presentation. And with this, I hand over to Therese Jander.
Therese Jander: Good morning, everyone, and a warm welcome to the Wienerberger Full Year 2025 Results Presentation. My name is Therese Jander, and I'm pleased to host this call today from London. And I'm joined by our CEO, Heimo Scheuch; and our CFO, Dagmar Steinert. We will begin with the presentation of our key developments of 2025 and the financials of the year and an update of today's news as well and an outlook for 2026. And afterwards, we will open up for your questions. So with that, I hand over to Mr. Heimo Scheuch.
Heimo Scheuch: Thank you very much, and lovely good morning from our side from Wienerberger's team. I'm glad to have you on the call. Let's walk quickly through the results of 2025, here. You have received them actually a week ago, so I just focus on the most essential points. If we look at '25, I think it was again a year that has to be characterized by a lot of volatility, politically speaking, financially speaking and also business-wise. The guidance that we actually delivered to you midyear with the EBITDA number has been fully reached. We have -- considering the circumstances that we operate in, I think, shown a high degree of profitability with an EBITDA margin, which is more or less flat compared to last year, 16.5%. Keep in mind that all of this comes at the market level when we talk a combined market level new build, new residential housing, infrastructure and renovation that even dropped compared to the year before. So we had a drop in the relevant markets from about 70%. You remember that we give indication that '21 is our reference here was 100%, so we dropped to 70% in '24 and to 65% in -- when we talk about '25. And again, here, Wienerberger has shown basically through the very strong cost discipline and the efficiency improvement, this strong margin in the year 2005 (sic) [ 2025 ]. Keep also in mind, and Dagmar will elaborate on that a little bit more, that we had quite a substantial cost inflation also last year, which we could counter with these measures, in order to keep the level of profitability. Profit after tax, very good and strong performance. We more or less doubled it to EUR 168 million. And the free cash flow, this is, I think, a very important step forward to reach nearly EUR 500 million last year, so again, we showed here the discipline in managing cash, managing the capital allocation throughout the business, especially and therefore, being able also to reduce debt further. So let's move on a little bit when we look at the debt structure as such. We came in at net debt level about EUR 1.6 billion. So that's 2.2x, considering what we have achieved with the acquisition of Terreal a year before and digesting it, it shows actually, again, the strength of Wienerberger to self-finance such transactions, to digest them, to integrate them and especially also financially also to be able to handle those. Again, one of the important step next to the cost discipline, next to the efficiency improvements throughout the business, which contributed largely to these strong numbers was the reduction of working capital to 20%. Also, again, a very important step in this volatile time to focus clearly on working capital. So this -- all of this, I consider that has been a very strong approach, very firm approach of Wienerberger on the discipline side when it comes to the financials. I already explained a little bit the market decline. And here, we have obviously the market decline when we talk about new residential housing. Here, again, you see that we have seen further declines in 2005 (sic) [ 2025 ] that have occurred, especially in the second half of the year. And we come obviously already when we look at the current status, with a lower level into '26 compared to the year before, '24 to '25. And again, at this stage, I just want to draw your attention because probably we are the first ones in the sector, but I don't shy away to make frank comments because it's no use to sort of wait and see. We had very harsh winter this year. It's an extremely strong winter, not only in North America, but also all around Europe with not only cold weather, freezing, snow, ice, but also flooding. So all of this has to be digested in the first quarter and will certainly have its effect in the second quarter as well. So all in all, I think when we talk then a little later during the call about the outlook, which is, again, a strong outlook that Wienerberger will provide, but it comes in at the basis of, I call it, a weaker start in the year due to the weather conditions, the harsh one that we have to face this year. Let's move on then a little bit to the different regions where we have seen in West, I think, I call it a stabilization throughout the different businesses. And you see also that, again, Wienerberger from a housing perspective and the new build segment outperformed the market with 2% volume increase. So very disciplined approach on renovation and new build when it comes to this part of the ceramic business, and also the pricing was very much in line with our expectations. Again, also on the piping front, we were able to improve our performance, grabbing some market shares left and right. But again, you see here that the Western Europe has performed considering the market as such, very well. And you see also the share of the business, which is, I think, very important to show that Wienerberger has emerged as a player, not only new resi, but also one in a stronger and even increasing share in infrastructure and in renovation. If we move now a little bit to the East, a little different picture. Obviously, depressed markets when we come to the new resi markets, with about 2% down. But again, here, we have sort of increased our activity and being a little bit more active in the market when it comes to volumes, so a plus 1% here and also from a pricing an okay situation throughout the year '25. I would say on the piping front, the minus 3% in volume effects, yes, that's due to some of the projects get delayed when the European funds don't finance in certain countries where there's political turmoil. So these projects, the bigger ones tend to get delayed. So this has an impact on the volume. And therefore, the minus 3% when it comes to the volume in piping. And here, you see also that we have already from a revenue split, improved our revenues in renovation and infrastructure, but not to the extent that we've done it in other areas. So this is some work in progress, I would say, as far as the share of different activities is concerned in Eastern Europe. Now let's move across the Atlantic to North America. I would say a very -- from our perspective, was a very tough environment that we faced throughout the year, '25, in North America, both in the U.S. and especially in Canada. And in Canada, we had a drop of new resi of more than 30% to digest in the market. So that was rather dramatic, I would say; and also in the U.S., around 9%, 10%, depending on the states that we operated in. So this affected obviously our new residential housing business essentially facing bricks. And you see it also on the revenue split that we are very much exposed to this sector yet or still in North America. The piping operations are doing well. We consider in this context that we only have one pipe factory in North America, but performing very well on the volume side. We extended our presence there due to investments in the production. So we grabbed a little bit of market share again in the Piping segment. And above all, I think we performed even in this market where the margins are coming down from this very high level during the last couple -- 2 years now to a normal one and a very satisfactory trend still in the piping business in North America. So all in all, I think driven by weak markets, North America suffered the most in our portfolio, and this is obviously then to be seen also in the profitability. But still, they have done a good job North American management in managing efficiencies and cost structure. I think when you look to summarize the introduction, before I hand over to Dagmar, you see the strong development, how we have improved, again, our share in the different segments and Wienerberger is now emerging as a strong player when it comes to the piping business in infrastructure, especially in the water management and energy management and in the renovation due to our strong growth in the roofing business. So this is, I think, from my side, this introduction, and I hand over to you, Dagmar.
Dagmar Steinert: Thank you, Heimo. Yes, a warm welcome from my side as well, and I will give you a deeper insight into our financials. It's now 12 months I'm with the company, and it's my first conference call for a full year, and I've seen how resilient and strong our business model is, and we delivered a solid set of results and that even in this really tough market. So having a look at our revenues and operating EBITDA, we are delivering. We are delivering our guidance. We've seen a stable profitability with still a remarkable margin of 16.5%, despite quite a high cost inflation. On the revenue side, Heimo already elaborated a bit about the market situation, about the volume overall for the whole group. On average, volumes are flat; as well as prices. But of course, we managed to again increase our revenues with innovative products, which are now standing at 34%. And that, of course, is as well paying in for our profitability. If we now go on further to the bridges, revenue bridge and operating EBITDA bridge. That well, is dominated in 2025 by our growing exposure to our roofing business, especially in Western Europe, which pays into our strategy and shows that we are growing in renovation. On the revenue side, yes, it's a flat development with overall plus 1% and a negative organic growth. So we already explained the volume softness in different markets, especially in North America. We've had some modest headwind from the currency side and the scope, the EUR 120 million scope that reflect our increasing exposure in roofing. On the operating EBITDA, we delivered. We delivered despite these rough markets and again, markets coming down, remarkable earnings, and we managed to absorb the overall cost inflation we faced, and that is a very strong result. So how did we do that? Of course, overall cost inflation was plus 4% in the year 2025, and that accounts for more than EUR 100 million. And that's quite a big chunk we should -- we had to manage. This cost inflation was mainly driven by higher labor and energy costs, as we elaborated during all our conference calls already. We managed to have EUR 30 million overhead savings from ongoing strict cost discipline. That is something which we are doing since years, focusing on a strict cost discipline. And if you have a look at the markets, which are softening year-by-year, it's quite a challenge to really deliver out of that some gains. What did we do? We delivered from structural simplifications, and we had a high focus on tighter spendings. And with that, as already said, we managed somehow to deliver EUR 30 million savings. Additionally, we are focusing on operational excellence. What does that mean? We have a look at production measures and capacity optimization, especially in the ceramic business in Europe. We improved our operational performance through improved shift patterns, improved throughput and of course, one or the other energy savings. That helped quite a lot. And on the other hand, we started our program Fit for Growth in the third quarter 2025. Fit for Growth is about streamlining processes from holding to operations so that we are improving our culture, how we work together, that we become much more agile, that we are faster and that everything is towards the customer in a better optimized structure and way. With that, of course, we will have -- we will see annual savings in the range of EUR 15 million to EUR 20 million once it is in a full swing. We haven't seen EUR 15 million to EUR 20 million in 2025. It was a bit less, but overall, that is sustainable and it will continue. Coming now to our operating segments, starting with Western Europe. Western Europe had a really good performance in 2025 due to roofing and the renovation portion of that business. Renovation accounts for nearly 50% of the business in Western Europe, and it's dominated by our roofing business. On the operating EBITDA on the profitability, of course, we had beside our strict cost control, we took capacity out, and we managed to have a higher utilization. We showed a strong operational excellence and with our well-balanced portfolio in Western Europe, as already mentioned, the roofing business is the main contributor. In Eastern Europe, the picture is a little bit different. Markets are dominated by our new build business, our wall business, and that's a difference compared with Western Europe. Our exposure towards renovation and infrastructure is less. But anyhow, we managed to keep our revenues on previous year's level. And regarding the profitability, we had quite to digest a big jump from inflation, but we managed to have a recent operating EBITDA margin was 18.1%. We focused a lot on cost efficiency and on capacity reductions, where we had one or the other winter still stand as well. Coming now to North America, that is our segment where we have the highest exposure towards new build and Heimo already mentioned that the market is in 2025 in North America and Canada, especially -- well, a disaster. So markets have been down significantly. And on the piping business, which accounts for roughly 20% of our business, we've seen volume increases. But on the pricing side, we faced due to deflation in raw materials, price decreases; therefore, our revenues are significantly down by 12%. Of course, that has a high impact on operating EBITDA, on the profitability, and we came in with EUR 132 million operating EBITDA and a remarkable strong margin of 19.0%. And with that, I would like to go further to our free cash flow. Our free cash flow is the second highest free cash flow in the company history, and it's the second year in a row with a remarkable free cash flow. And I would like to put your attention on the change in working capital. We managed again to have a significant cash inflow from the reduction of our working capital. And that, of course, a high free cash flow is the basis to reduce net debt and to be ready for further growth. With that, I would like to elaborate a little bit about our net debt development. We managed to reduce our net debt by roughly EUR 120 million, and therefore, our leverage by the year-end is 2.2. Beside our really good free cash flow, we had a strong focus on growth CapEx because we focused on high return projects, and that underpins again our future growth, which will be self-funded. We've seen some smaller bolt-on acquisitions where we paid in total EUR 24 million in 2025. And of course, we, as always, have a significant amount, which we pay on dividends and share buybacks to our shareholders. And with all of that, I must say, we have a disciplined CapEx and cash management, and that is ongoing. If we have a look at our balance sheet, don't look at all these numbers. It's just to give you an impression that we have -- that our fundamentals are in a really good shape. We have a robust balance sheet, a solid balance sheet, and we even managed to improve our equity ratio by 1% from 45% to 46%, despite different headwinds we faced. One headwind, of course, the really weak market and the other headwind regarding our equity ratio, the swing in negative currency impact. On the other hand, positive, we reduced our gross debt by 10%. We reduced our net debt by 7%. And that, of course, goes hand-in-hand with the reduction of working capital where we improved the ratio towards revenues to 20%, coming from 24%. So as you can see, our fundamentals are in a really good shape. We have an attractive shareholder return, paying dividends, which are solid, steady and reliable. Our dividend proposal for the year 2025 is EUR 0.95 per share, as we had in the last year. As you can see, if you look at the development of our dividend payout and share buyback, our dividend is stable and is stable or is even growing and never comes down. Our payout ratio is 28% of the free cash flow, and that is in line with our 20% to 40% range. Now I would like to come to our outlook. What are the key assumptions? If we have the macroeconomic view, we expect, again, flat residential markets, no structural recovery. We see flat infrastructure and renovation markets, so there will be no real movement. And as well, we don't see any decline in long-term interest rates. Markets stay difficult, volatile and are not growing. Inflation is expected to be around 2.5%, and we will cover that by price increases up to 2%. What are we doing to manage all these key assumptions? We focus again on optimization and efficiency measures. First, I would like to mention our Fit for Growth program. That is a cultural transformation. Our people are empowered to take on more responsibility and accountability to be more responsive and agile with a view to delivering future growth and profitability. We will see further consolidation of our plant network, and of course, we will see a payback of expanding our industrial footprint with new products. Just to remind you, we are growing year-by-year our share of revenues from our innovative products. But we will have some special topics in 2026. And one I would really like to point out, put your focus on, is our energy inflation because that energy inflation is Wienerberger specific. It will be a burden of EUR 30 million in 2026. We faced highest energy costs of the past 10 years, and we will be not able to compensate these higher energy costs through price increases. It's not homemade, it's externally driven, and I will explain on the next chart why. Here, you can see the development of the market price. Natural gas, which is a most important energy we use and the price we pay in our portfolio. As you can see, the market price came down from 2025 from EUR 37 in '26 to EUR 33 on an average. What we pay or paid for our portfolio in 2025 was an average price of EUR 24, and that goes up to EUR 32, maybe EUR 33, so it goes up to the market price. And out of that, we face this EUR 30 million extra one-off energy inflation, which we are not able to compensate. If you look at the capital expenditure, we expect overall EUR 280 million, EUR 100 million will be growth CapEx for high profitable projects. On the other hand, we will spend roughly EUR 180 million, which is with EUR 160 million maintenance CapEx and additionally EUR 20 million for improving our Secure Zone Action Plan, which is to support the safety of all our plant workers. A little view again on the market. Our assumptions are: we don't see a recovery of the market. 2026 will be flat, not only in new build as well, but as well in renovation and infrastructure. I would like to draw your attention on the development during the year 2026. We start at a very low level in the first quarter and the first quarter due to these really bad weather conditions will be a quite weak quarter. And therefore, we expect the first half 2026 to be below the second half 2026. And of course, the first half 2026 will be below the first half of the previous year. But that's all in line with the development of a flat market. So coming now to the numbers of our outlook for the ongoing business. You can see here a bridge starting at our delivered guidance 2025, the EUR 754 million operating EBITDA. You will see out of organization and profitability measures, EUR 36 million, that includes everything, like our Fit for Growth, our operational excellence, what we do regarding operations, where we are improving our profitability in our processes towards better shifts, better mix and better utilization. Then we would have an operating EBITDA of EUR 790 million. But unfortunately, we have this one-off in 2026 regarding our own energy inflation. And therefore, our guidance for our ongoing business for the year 2026 is with the assumption of flat markets, EUR 760 million operating EBITDA. But of course, that's not all because the future is going on, and we have our next chapter, and that's a growth chapter. And with that, I would like to hand over again to Heimo.
Heimo Scheuch: Thank you, Dagmar. And ladies and gentlemen, I think what you have seen in the presentation of Dagmar is very clear. We have performed very well in the light of declining markets, in the light of sluggish, I call it, recession development over the last couple of years. Wienerberger has been very good. And on a personal note, with sadness, I sit here in this call because I remember 4 years ago, this dreadful invasion of the Ukraine by the Russians. And a lot of things have changed in business, not only energy costs, and not only the way how we do business, but we had to adjust in a lot of aspects of the business, and we adjusted very well as Wienerberger. If you look at the performance of North America that Dagmar has shown in detail, I mean, when I compare the housing starts that we had last year in Canada and the U.S. and the performance of EBITDA wise to the ones that we have 5, 6 years ago, how strong we have been able to improve our EBITDA performance, our margins in North America, it's impressive. Impressive how we work on this every day, and our people put a lot of effort in making our business even more performant in the future. Secondly, and that's also, I think, something to really -- before we go into the new chapter to stress is the innovation rate. It's a very strong rate above 30%, actually around 34% that we have in the group. We push through our systems more successfully. Otherwise, actually, if you sell only bricks, pipes, roof tiles, we wouldn't be able to make these margins in such depressed markets. So that's the system approach that helps us to increase margins, and we continuously do so. Thirdly, and most importantly, you see also the strict discipline when we come to M&A. We have delivered over the last 10 years, a lot of deals coming in, very disciplined when it comes to the pricing of the deals and also the payback. And every cent has been paid back, and that's why we have to strong performance. If we look now at the new growth chapter that comes our way, we have the ideal fit for our business to grow and to improve when we talk about the Italcer acquisition. Why? And let me just summarize this in a nutshell. This is -- Italcer is the leading business when it comes to high-end solutions for tiles, for floors, for walls, for facades, for the inside, for the outside and especially in the Renovation segment, which is very highly performing, modern production hubs in Italy and Spain. They are growing, not only in the local market, but especially with respect to exports. It's not a new business for Wienerberger. I call it an adjacent business. Why? Because actually, we use the same raw material. It's clay. We have more or less the same technology. Obviously, these colleagues in the wall and floor tile industry are more specific, highly technology when it comes to the surface treatments, the colors, the structures. So this is a great addition to our facing business that is obviously very strong in North America, Western Europe and also increasingly strong in the renovation. Here, we have an ideal sort of growth space for the future in order to improve our footprint there. Clients are more or less the same in a lot of countries. So we can sort of improve our footprint in the Southern European Hemisphere and also in the Western Hemisphere. And obviously, Italcer is a leading company when it comes to technology, as I said before, in manufacturing; also in capturing CO2 and improving the footprint there. They have the first kiln when it comes to electrified kilns in Spain, high performance. And again, you see it's an ideal fit for Wienerberger on the growth path in the future and gives us a more and even stronger performance and a footprint in the renovation part of the business. So as I said, these are the reasons from our perspective to enter Italcer. We have here the leading company, solid growth, outperforming the markets over the last couple of years, very strong and committed management team that will stay in place and fits culturally and also from a performance very well with ours, so it's an easy integration, if I may say. So we will put the guys also on our platforms and integrate them as we did in the past with others on our back offices and business support centers and then therefore, ensure obviously, the growth in the future. When we look further to this business, the transaction structure that we have put here and Dagmar has stressed this item very carefully and duly when we talk about financing. Again, we focus here on self-financing and support. So this is, again, an acquisition that we realized in this way in order to ensure this financing, buying 50% plus 1 share now. And then we will have the necessary approvals that are for such transactions. They are not the EU application as it's only in Germany and Austria and in other countries. So this will run through rather smoothly. We all expect that and then start the consolidation from Q2 onwards. So again, it's a fully cash transaction funded from our existing liquidity. We have all the facilities in place in order to finance this transaction. When we look at the -- from our perspective, the integration as such, as I said, it's going to be a rather quick one on the back office side, on the front office side because in these markets, Italcer is very strong. We can obviously help them in order to improve the business throughout Europe and also in North America, where they have a strong business also exporting to the U.S. and our strong footprint with our outlets and sales offices throughout the country will help us to improve the performance. On the financial front here, we see about EUR 10 million of synergies rather quickly to be grabbed here on the commercial side and a little bit on the cost side. But more will come in the future, but this is, I think, a good starting point. When we summarize, again, in a nutshell, it's an ideal sort of addition to our portfolio. It's easy to manage, easy to integrate. We understand the business. We can handle it in our product assortment, can use it to improve our footprint in the facade business throughout the world, actually. It will strengthen our footprint also in the renovation segment, which is very strong. It helps us with architects, with planners, with designers in order to have here even a better footprint for Wienerberger when it comes to new build, but especially renovation. We will get quite a substantial amount of synergies in, as I said, very quickly. It's a highly attractive financial profile because from a perspective of EBITDA about multiples, we have here about EUR 82 million EBITDA that Italcer will provide us full year in 2026. We will come to this in a minute, but a strong sort of performance here, which gives us a multiple a little higher than 6, but nothing sort of that we look at comparable transaction in the past. So very attractive for us. We'll bring it down when we look at the EUR 100 million that we think we were able to achieve rather quickly to a multiple in the 5-ish for such an acquisition, I think, a very strong track record, again. So let's move on to the next slide. And here, you see from what has been presented by Dagmar on the outlook of the ongoing Wienerberger business, now the integration of Italcer. Obviously, when you look at the outstanding performance in 2025, all these measures that Dagmar has explained will make us performing in this scenario rather well. Let me say one thing on this. Dagmar and myself used the word flattish, stable markets. Yes, that's an assumption. If the markets gets better and if something happens this year, we are ready. Don't worry about that. We have capacity in place, we have structure in place to satisfy. Only if you see all this volatility, and I think it's wise at this stage of the year to say clearly, let's see what comes our way, but we, as Wienerberger, we don't wait for the cycle. We create our own growth by doing the right things and improving our portfolio, focusing on the cost side, focusing on the organic growth side and therefore, reaching then the EUR 790 million when you talk about performance. The EUR 30 million of one-off effects on the energy front, I think you have understood that. It's a result of our buying-forward strategy. Basically, it helps us in a long time, and then it comes a little bit against us, but I think it's a one-off, we digest it. So the EUR 760 million is a strong guidance for this year operating wise, and we will add the EUR 50 million coming from Italcer on top. That's, as I said earlier, provided that we get the necessary approvals in Q2, and then we will consolidate the EUR 550 million from this date onwards and then at the operating EBITDA guidance of EUR 810 million for the whole year of 2026. If we look at a very important point because some of you will obviously ask these questions anyway. On the financing, Dagmar has clearly explained how we have brought down our debt in '25 to 2.2. The Italcer acquisition will bring in additional debt of about EUR 400 million. So we'll end up a little bit above EUR 2 billion of debt, it's about 2.5. If I then calculate the EUR 810 million as a reference already, and then we bring it down as to -- with very specific measures, as you have seen in '25. We have now already in place, our reduction in working capital. We have also the CapEx adjustments that we will bring in and some real estate transactions where we have nonoperating real estate that we will sell off. All of this brings in about EUR 220 million. So we will reduce towards the year-end 2026, again, our debt level to about EUR 1.8 billion. You see a very disciplined approach and how we can finance such a transaction and expansion of our portfolio rather quickly, fast and very efficiently throughout this year. Again, when we look at the EUR 810 million outlook, it's in the light of persist geopolitical and macroeconomical uncertainty that we face. Guys, all of you that are listening in every day, there are other news on tariffs, on other things. We need to live with this. And this is something I think we have learned to do so, and therefore, we remain very optimistic, very positive and just do our work well and cut costs where we can, focus on margins. And as I said, we assume right now that there's no real big recovery in the new residential housing market. There's somehow flattish infrastructure and renovation market. It might be better than towards the mid of the year. We will see. But as I said, we are prepared. We have a lot of attention to grow fast and react very quickly. But at this moment, the financing environment, the banking, how they react with real estate, I think, remains very restrictive. So there's not the green light that I see here or the tailwind that some of you talk about that is here in the market in order to boost the business. Again, we will outperform, by this guidance, our markets. We'll focus on the debt reduction that we told you. Strong cash generation, obviously, goes by itself and integration of Italcer and therefore, expanding our earnings base. So a strong focus on the business again this year. I think from my side, this is -- summarizes the year 2026. We will obviously have our Capital Markets Day a little later this morning, where we'll elaborate about the strategy in much more detail in the future. But this is, I think, from a perspective of year '25-'26 what we had to tell you today. So I hand over to all of you for further questions.
Operator: [Operator Instructions]. The first question comes from the line of Cedar Ekblom from Morgan Stanley.
Cedar Ekblom: Can you hear me now?
Heimo Scheuch: Yes, we can.
Cedar Ekblom: Perfect. That took a while on my side. So I've got a couple of questions, please. Can we just go back to Italcer? I'd like to get some final details around the purchase consideration on a 100% basis and the implied multiples pre and post synergy. I appreciate in the slides, you've got the cash impact of EUR 400 million in 2026. But my understanding is that is only for the initial 50% plus 1 share. And so it would be helpful to get a sort of a fully acquired impact to the gearing and the multiple and the cash impact. Do we multiply EUR 400 million by 2 to get to the sort of 100% EV implications for the business? So that's question one. Question two, also around Italcer. To be honest, I'm not 100% sure on the sort of channel overlap here on the products. Maybe you can talk a little bit more about it. My understanding is that Italcer's products are sort of luxury high-end ceramic products for internal sort of design applications, fancy bathrooms, fancy tiles, et cetera. I don't get that how that overlaps with your external brick roofing product categories. I get that there's a regional overlap, but I don't see the end market overlap there. So a bit more color around how you see the fit would be helpful. So those are the 2 questions on Italcer. And then there's 2 questions just on sort of the outlook or financials. Can you confirm if you had any benefits from carbon credit sales in the 2025 results, any positive impact there? And then just on the energy side of things, you have guided to this EUR 30 million impact, which I understand is around the way you purchase energy. Is there any way that you could soften that impact by doing some contracts, some hedging, et cetera, that you wouldn't normally do in order to try and soften some of that headwind? So quite a lot to unpack there. Those are my 4 questions.
Heimo Scheuch: Thank you, Cedar, for the questions. I will hand over and then come in if it's needed on the Italcer financials because Dagmar will take over right now, and then I will answer the rest.
Dagmar Steinert: Yes. Well, regarding on the Italcer financials and the additional EUR 400 million debt we will put on our balance sheet. Of course, we buy 50% plus 1 share. And with that, we are going to fully consolidate the whole group. And with that, we are taking debt over. Therefore, in 2027, when we make the second step to acquire the minorities, it will be far, far less than EUR 400 million. We see overall equity value of EUR 560 million. And with that, I'm very confident that we will not only manage to bring our leverage by the year-end '26, again, down to 2.2, but we will see further improvement in the years to come, 2027 and ongoing.
Cedar Ekblom: Sorry, Dagmar, just before you go on, apologies. So I just want to be 100% clear here. You're saying EUR 560 million equity value?
Heimo Scheuch: No. Enterprise value.
Dagmar Steinert: Enterprise value. No, enterprise value.
Cedar Ekblom: Enterprise value. Okay. So EUR 560 million. That's helpful. Apologies, carry on.
Heimo Scheuch: And as I said, Cedar, it's EUR 82 million full year EBITDA contribution from Italcer in '26, yes? And we will only consolidate EUR 50 million because we have the processes to go through on the approval side from antitrust authorities in Germany and Austria. Understood?
Cedar Ekblom: Understood.
Heimo Scheuch: Thank you. And let's now go into the 1 -- you had 2 questions, actually. The one was the channel question, distribution; and the other one was obviously the positioning of Italcer. First of all, let me start with the positioning. Yes, they started with the sort of -- I wouldn't call it only luxury but high-end sort of applications, tiles for floors, for walls and in the inside and renovation. Yes, you are right. This is a business which is strong in renovation. There are some special dealers around Europe that sell those products, but they are also big distributors. I will refer to, for example, to a French one that is very well known to you. It's POINT.P, the Saint-Gobain distribution structure in France that sells all of their products. So here, Wienerberger products and Italcer products goes through the same channels. Also in Italy, for example, we have the same. Also in the U.S. So there's a lot of common when we talk about distribution as such. Obviously, we will have a specific sales force as we have for facing bricks or for clay blocks or for also the roof tiles. So we will have the special and continue to have the special sales force for the tiles in Italcer. On top of it, and this is, I think, a very important aspect, I said that strategically, you will see emerging very strongly in the next couple of years. This company is leading when it comes to treatments of services, digital printing, colors, et cetera. So where do we need it? We see that the facing brick business moves towards a thinner product business. That means the bricks get thinner and thinner. We call them thin bricks or slips or whatever throughout the different markets. So here, we have a very ideal addition to our business where we can produce these products and replicate old bricks very easily through the Italcer channel. So there's a lot of manufacturing synergies there and where we can improve the business because there's a lot of renovation work going to be on the outside in Europe of the old housing stock. So replicate those bricks we do today burn in our kilns traditionally, cut them, have some waste and then put it into the market. We can produce it much quicker, much faster through the manufacturing base of Italcer. So this is something -- a growing business already for them. So they have here a business, a good business already, and due to the addition to ours, in Western Europe, especially and, above all, also in North America, this will play out as a very strong growing business for Wienerberger in the future. So I hope I have addressed this part of Italcer for you strategically.
Dagmar Steinert: You had some questions about our energy pricing and ask if you are able to fix energy at lower prices with like future contracts. Of course, we do that. We did that in the past, but always like ongoing for the next years to come. And in the face of decreasing energy prices, of course, our level, what we fix is below what we did in the past. And we feel quite comfortable how we manage our risks and what actions we are taking. But 2026 will stay as it is. We will pay energy prices on market level. And the years to come, of course, it highly depends how our energy prices are developing, what is going on with the war and so on. So that's a volatile environment.
Heimo Scheuch: But to add something what -- Dagmar, what Cedar has asked, there is no softening possibility of this EUR 30 million.
Dagmar Steinert: No. No, that's not.
Heimo Scheuch: This is, I think, what she wanted to understand. And here, we have done the utmost in order to bring it down to EUR 30 million. Yes?
Dagmar Steinert: Yes.
Cedar Ekblom: And could we get some color just on the carbon credit sales? I'm not sure if you disclose these numbers, but it would be helpful to know if you have been selling excess credits in the market in the last couple of years and put some numbers around what those benefits might have been?
Dagmar Steinert: Well, we are always selling some carbon credits, which we don't need for our ongoing business. And we have some gains out of that, but that's normal business, nothing unusual.
Cedar Ekblom: And what is the quantum there? Are we talking EUR 50 million or...
Heimo Scheuch: No, no, no. By no means, such high numbers. No. It's -- as Dagmar said, it's a normal sort of ongoing business thing. So it's not a few million euros. It's a double-digit amount, if I may say so, but nothing in the range of what you were referring to.
Operator: We now have a question from the line of Markus Remis from ODDO BHF Securities.
Markus Remis: Can you hear me now?
Heimo Scheuch: Yes.
Markus Remis: Okay. Excellent. I'd also like to start with a question on the '25 financial statement. And I'm trying to better understand the cash conversions because when I look at the receivables, the ratio compared to sales was the lowest since 2010. So can you maybe disclose the level of factoring by year-end to get an understanding to which extent this was operationally driven or how much financial engineering stands behind the receivables reduction?
Dagmar Steinert: Well, we have 2 effects on our receivables. First of all, regarding our working capital management, we focused on our trade payables and receivables, and we faced lower -- much lower sales volumes in the months November and December. That, of course, was one aspect of a reduction of receivables. On the other hand, we increased our factoring by roughly EUR 30 million towards year-end, but that's normal operating business as we had our Terreal acquisition integrated in our group and therefore, a bigger portion of that refers to the integration of Terreal into our factoring business. And the focus -- just to add, the focus for the year 2026 for the reduction of working capital is strongly on inventories.
Markus Remis: Okay. And so factoring at year-end '25 was then close to EUR 200 million?
Dagmar Steinert: Yes.
Markus Remis: Okay. That's very helpful. And then if I may follow up on the cost inflation part, you've flagged 2.5% of cost inflation, excluding this energy burden, this EUR 30 million. Can you shed some light on the remaining drivers? How that 2.5% is composed? Some indications here would be helpful. And then on the other hand of the price cost equation, for which parts of the business are you most upbeat to raise prices to get to this 2% on the group level?
Heimo Scheuch: Well, I can answer that. For example, we are certainly on the roofing segment, which is a stronger segment in resident than the new residential housing right now. So there, obviously, I think, we will have no problems bringing up the prices.
Dagmar Steinert: The 2.5% on an average inflation, it's just a normal inflation you face more or less in every country. In some, it's below. In some, it's even higher. And therefore, it's an average number, 2.5%. You see it on personnel expenses. You see it on -- yes, on everything more or less. So nothing specific, nothing...
Heimo Scheuch: Labor is the most important one.
Dagmar Steinert: Yes.
Markus Remis: All right. And then the last question, again, to get it straight on Italcer. The EBITDA multiple that you mentioned. So it's like just over 6x. I think that was just mentioned, how is that derived? Because if I take the equity value and then assume something like...
Dagmar Steinert: Enterprise value.
Heimo Scheuch: Enterprise value.
Markus Remis: Sorry, enterprise value. The EUR 70 million of current EBITDA, I get to quite a different...
Heimo Scheuch: No, no, you take EUR 82 million EBITDA, EUR 82 million.
Markus Remis: Okay. So that's the kind of annualized contribution in the current year.
Heimo Scheuch: Correct. Correct.
Operator: And next in the line is Isaac Ocio from On Field Research.
Isaac Ocio: Can you hear me?
Heimo Scheuch: Perfectly well.
Isaac Ocio: So 2 questions regarding maybe '26 and 2030. So the first one would be, so is the current inability to pass on cost inflation behind us after the EUR 30 million hit in '26? And maybe my second question would be what is the pace of recovery in European residential construction you're expecting since we're seeing kind of some green shoots in Germany and France and maybe give a bit more color regarding that.
Heimo Scheuch: Thank you for the 2 questions. Yes, I agree with you that this one-off, as Dagmar has explained it, the EUR 30 million energy is then this one-off that we have to deal with this year. The rest is then a more, call it, stable development when it comes to inflation that we can digest with price increases on a yearly basis, in the years to come. Now from the future and if I may, we will do it, and I will speak about this in the Capital Markets Day presentation in more detail. But I've given you a base case that you will see in the presentation, where basically I say, it's a stable case in the future, where we, Wienerberger, can generate growth and don't wait for green shoes, as you have explained or you have referred to in France and Germany, et cetera. So we say Wienerberger has the capacity to digest and to grow very quickly when it comes to better markets or stronger markets in new residential infrastructure and renovation because we have the capacity there. We have also, if the Ukraine war ends and there's more demand, also the possibility to substantially grow our business quickly, and that will have a huge financial impact. But at this very moment, obviously, these are things that might occur. We don't know when and how and there's a lot of volatility. So we don't want to put our business model only on this. But as I tried to explain on our own strengths and what we can influence and drive, therefore, the growth independently for this. And you will see the numbers that I'll present to you in a minute.
Operator: And I am moving on to Julian Radlinger from UBS Limited.
Julian Radlinger: So a couple for me. First of all, could you help us with some of the moving parts in the 2026 guidance, please? What should we assume for D&A and net interest costs? I'd love to better understand the implied EPS guidance, either excluding Italcer or preferably including it? And then secondly, so you're alluding to H1 '26 being particularly tough for a lot of reasons that makes sense. Could you elaborate on that a little bit, please? So historically, your adjusted EBITDA seasonality H1 versus H2, something like 48%, 52% of full year EBITDA. Are we thinking something like 45%, 46%? Is that the right kind of ballpark or should we think about it differently?
Dagmar Steinert: Well, first of all, I would like to start with our interest costs. Our interest costs in the year 2025 amount to EUR 100 million, and we usually build up during the year working capital. Therefore, we take more debt during the year on our balance sheet to bring it down by the year-end. And so the EUR 100 million, of course, are, first of all, like the basis. And then we will see additional EUR 400 million in the second quarter. And our interest costs on average are between like 3.5% and 4%. So the impact will be digestible. But of course, you have to refinance the net debt of Italcer. Italcer pays a much higher interest rate. Therefore, we will see overall for 2026, of course, higher interest rate.
Julian Radlinger: Okay. That's helpful. And the D&A?
Dagmar Steinert: The D&A, of course, is increasing as well. But if we look at the P&L of Italcer and the strong margin they are delivering that will be less -- yes, I would say, a little bit less impact than we have on average in our business.
Julian Radlinger: So that you're saying they have lower D&A as a percentage of sales than you do?
Dagmar Steinert: Slightly. But of course, we have to see regarding the purchase price allocation, what we identify in assets which we have to amortize. So what is like the split between goodwill and like customer lists and know-how and so on. And that work isn't done so far. So therefore, it's still a little bit, of course, of a slightly black box for us.
Julian Radlinger: Understood. And then regarding the H1 '26, please?
Dagmar Steinert: H1 '26, yes.
Heimo Scheuch: Yes, you mean your EBITDA split. I think historically, you're right, you can deduct this from all the information that you have available. But I wouldn't sort of count on this for this year. It's a very different year. We have never seen such a winter for the last 20 years or so. So I think we'll have to cope with it in the sense of how the business will start in March, when it starts, how quickly it takes off and how it develops, we will see. I think I don't want to make too many predictions. As we said, we give you a clear guidance for the year, which is already, I think, a very strong message from ourselves in this volatile market.
Operator: Thank you very much. There are no more questions at this time. I would now like to turn the conference back over to Therese Jander for any closing remarks.
Therese Jander: Thank you very much, and thank you for joining and your interest in Wienerberger. And we hope you -- we welcome you back again in the first quarter call in May 13. And I hope you will also find a lot of usual information around our Capital Markets Day that you will now receive on our website. So thank you, everyone, and goodbye.
Operator: Ladies and gentlemen, the conference is now over. You may now disconnect your lines. Goodbye.